Operator: Good morning. My name is Jennifer, and I will be your conference facilitator today. At this time, I'd like to welcome everyone to the BlackRock Incorporated Second Quarter 2024 Earnings Teleconference. Our host for today's call will be Chairman and Chief Executive Officer, Laurence D. Fink; Chief Financial Officer, Martin S. Small; President, Robert S. Kapito; and General Counsel, Christopher J. Meade. All lines have been made on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] Thank you. Mr. Meade, you may begin your conference.
Christopher J. Meade: Thank you, operator. Good morning, everyone. I'm Chris Meade, the General Counsel of BlackRock. Before we begin, I'd like to remind you that during the course of this call, we may make a number of forward-looking statements. We call your attention to the fact that BlackRock's actual results may of course differ from these statements. As you know, BlackRock has filed reports with the SEC, which list some of the factors that may cause the results of BlackRock to differ materially from what we say today. BlackRock assumes no duty and does not undertake to update any forward-looking statements. So with that, I'll turn it over to Larry.
Laurence D. Fink: Thank you, Chris. I'd like to begin by addressing what occurred over the weekend. The assassination attempt on former President Trump is abhorrent. I was very relieved he wasn't seriously injured, and I'm thinking about the victims of this shooting, especially the innocent person who was killed. As I wrote to my BlackRock colleagues in the hours immediately following the horrific event Saturday evening, we must condemn political violence of any kind, period. And as Americans, we must stand united to do our part to promote civility and unity for our country and provide hope for all Americans. I'll turn it over to Martin now.
Martin S. Small: Thanks, Larry, and good morning, everyone. Before I turn it back to Larry, I'll review our financial performance and business results for the second quarter of 2024. Our earnings release discloses both GAAP and as-adjusted financial results. I'll be focusing primarily on our as-adjusted results. The first half and second quarter of 2024 saw some of BlackRock's strongest performance and highest growth rates of the post-pandemic period. We're growing faster than last year. We delivered double-digit operating income growth and expanded our margin by 160 basis points year-over-year. Clients entrusted us with over $80 billion of net new assets. It was $150 billion of flows excluding episodic client activity. We generated 3% annualized organic base fee growth, our highest second quarter in three years. We ended the second quarter with record AUM of over $10.6 trillion. Our business tends to be seasonally stronger in the back half of the year and we have line of sight into a broad global opportunity set of new asset management and technology mandates that should fuel premium organic growth. We're executing on the strongest opportunities we've ever seen in our core business and building for the future. We're moving swiftly and aggressively to position our firm to achieve or exceed our 5% organic base fee growth target over the long term. At the same time, we're putting the future building blocks of accelerated all-weather organic growth, that's private markets and technology. We're putting them into place with our planned acquisitions of Global Infrastructure Partners and Preqin. We're building our mix towards higher secular growth areas like private markets, technology, whole portfolio mandates, and model portfolios powered by both ETFs and active. We believe this will deliver greater diversification and resilience in revenue and earnings through market cycles. Through strong organic growth and scaling of our private markets and technology platforms, we believe we can drive compelling earnings growth and multiple expansion for our shareholders. We continue to build with our clients and more than $10.6 trillion in assets under management, $10.6 trillion units of trust, BlackRock's platform is becoming the premier long-term capital partner across public and private markets. We're connecting investors, corporates and the public sector to the power of the capital markets. Through the iShares and indexing platforms, we've developed longstanding relationships, highly aligned shareholder relationships with global corporates. Through our advisory and technology capabilities, we are a trusted partner to governments and the public sector. These relationships are creating a wealth of opportunities for unique transactions, especially in infrastructure and private markets, and they benefit our clients' portfolios, they fuel organic growth. In the second quarter, we saw equity markets power to another record high and more clients starting to re-risk. Investors waiting in cash have missed out on significant equity market returns over the last year and more investors are stepping back into risk assets. BlackRock is a [sheer] (ph) winner when there's assets in motion. Periods when investors are eager to deploy capital are historically when BlackRock's platform sees its most outsized growth. Clients are coming to BlackRock as a thought leader, as a partner as they rethink their portfolios and investment technology. We continue to execute on a strong set of large opportunities that are contracted near-funding or in late-stage contracting. And over the past few months, the slate of client mandates we've been chosen for is the most broad and diversified has been in years across active equity and fixed income, customized liquidity accounts, private markets and multi-product Aladdin assignments. BlackRock generated total net inflows of $82 billion in the second quarter, representing 3% annualized organic asset and 3% annualized organic base fee growth. Flows were impacted by an approximately $20 billion active fixed-income redemption from a large insurance client linked to M&A activity. Excluding this single client specific item and low fee institutional index equity flows, we saw nearly $150 billion of total net inflows in the quarter. Second quarter revenue of $4.8 billion was 8% higher year-over-year, driven by positive organic base fee growth and the impact of market movements on average AUM over the last 12 months. Higher performance fees and technology services revenue also contributed to revenue growth. Operating income of $1.9 billion and earnings per share of $10.36 were each up 12% year-over-year. Non-operating results for the quarter included $113 million of net investment gains, driven primarily by non-cash mark-to-market gains on our unhedged seed capital investments and minority investments. Our as-adjusted tax rate for the second quarter was approximately 24%. We continue to estimate that 25% is a reasonable projected tax run rate for the remainder of 2024. The actual effective tax rate may differ because of non-recurring or discrete items or potential changes in tax legislation. Second quarter base fee and securities lending revenue of $3.9 billion was up 7% year-over-year and reflected positive organic base fee growth and the impact of market appreciation on our average AUM, partially offset by lower securities lending revenue. Sequentially, base fee and securities lending revenue was up 3%, reflecting higher average AUM and 3% annualized organic base fee growth in the current quarter. Our annualized effective fee rate was flat compared to the first quarter. Ending spot AUM was 2% higher than quarterly average AUM as market sharply recovered after April declines. Performance fees of $164 million increased 39% from a year ago, driven by both liquid alternatives and long-only products. Quarterly technology services revenue was up 10% compared to a year ago and up 5% sequentially, reflecting successful client go lives. Annual contract value, or ACV, increased 10% year-over-year, reflecting sustained demand for our full range of Aladdin technology offerings. 80% of new logo sales this year have come from opportunities, including multiple products. We have a strong multi-product pipeline and remain committed to low- to mid-teens ACV growth over the long term. Preqin is expected to accelerate planned technology services ACV growth within our target range. Total expense increased 5% year-over-year, primarily driven by higher incentive compensation, G&A, and sales, asset and account expense. Employee compensation and benefit expense was up 4% year-over-year, reflecting higher incentive compensation as a result of higher operating income and performance fees. G&A expense was up 7% year-over-year, primarily due to the timing of technology spend in the prior year and higher professional services expense. Sales, asset and account expense increased 4% compared to a year ago, primarily driven by higher direct fund expense. Direct fund expense increased 4% year-over-year and 6% sequentially, primarily as a result of higher average ETF AUM. Our as-adjusted operating margin of 44.1% was up 160 basis points from a year ago, reflecting the positive impact of markets on revenue and organic growth this quarter. As markets improve, we expect execution on our financial rubric to drive profitable growth and operating leverage. In-line with our guidance in January and excluding the impact of Global Infrastructure Partners, Preqin and related transaction costs, at present, we would expect our headcount to be broadly flat in 2024 and we would also expect a low- to mid-single digit percentage increase in 2024 core G&A expense. Our capital management strategy remains first to invest in our business to either scale strategic growth initiatives or drive operational efficiency, and then to return excess cash to shareholders through a combination of dividends and share repurchases. At times, we may make inorganic investments where we see an opportunity to accelerate growth and support our strategic initiatives. We repurchased $500 million worth of common shares in the second quarter, which exceeded our planned run rate as we saw attractive relative valuation opportunities in our stock. At present, based on our capital spending plans for the year and subject to market conditions, we still anticipate repurchasing at least $375 million of shares per quarter for the balance of the year consistent with our previous guidance in January. At present, we'd expect our planned acquisition of GIP to close in the third quarter of 2024, subject to regulatory approvals and other customary closing conditions. And just a few weeks ago, we announced our planned acquisition of Preqin, marking both an extension of our private markets capabilities and a launching point into the adjacent fast-growing private markets data segment. We expect it will accelerate the growth and revenue contribution of technology services. The bigger longer-term opportunity is leveraging our engines in Aladdin and indexing with our capital markets expertise to build the machine for the indexing of private markets. With the creation of public benchmarks did to drive stock markets, especially visible through iShares, we believe the combination of BlackRock and Preqin can do for private markets. The momentum we spoke to last quarter is visible in our flows with $82 billion of total net inflows in the second quarter, which include the previously mentioned large outflow from one client. Excluding that single client outflow, flows were positive across product types and active in index. BlackRock led the ETF industry in flows for the first half of 2024 and the second quarter, and our flows are more diversified by product type, channel and region than any other issuer. Second quarter BlackRock ETF net inflows of $83 billion were led by fixed income and core equity ETFs, which saw $34 billion and $32 billion of net inflows, respectively. Precision ETFs added net inflows of $14 billion in the quarter, as clients reassessed their tactical portfolio allocations, adding exposures to growth equity. BlackRock's Bitcoin ETF continues to lead, gathering another $4 billion in the second quarter for $18 billion of net inflows in its first six months. Retail net inflows of $6 billion reflected continued strength in Aperio and broad-based net inflows into active fixed income. Aperio recently crossed the $100 billion AUM milestone, logging over 20% organic growth since we acquired the business a little over three years ago. As fee-based fiduciary wealth advisors grow across the world, managed model portfolios are the main way in which wealth managers are looking to scale their practices and better serve their clients. BlackRock has the leading models business and we grow through distribution of our own models, as well as through distribution of third-party models that typically include strong allocations to iShares. Our partnership with Envestnet continues to help Envestnet advisors grow and to drive assets into BlackRock products through models. In the second quarter, we saw our best net sales month on the platform in nearly three years and have generated 20% annualized organic growth in 2024. Last month, Envestnet and BlackRock announced new programs to expand personalized investment strategies on the Envestnet platform across direct indexing, models and portfolio consulting. Also in June, we announced a partnership with GeoWealth to expand our custom models offerings, which represents the fastest-growing model segment. The custom models offered through GeoWealth's platform will provide advisors with a streamlined and scalable approach that combines public and private markets in one portfolio solution. Institutional active net outflows of $2 billion were impacted by the previously mentioned single client redemption. We saw the funding of several whole portfolio assignments and strength in private markets as clients seek out and leverage our comprehensive multi-alternatives platform. Institutional index net outflows of $35 billion were concentrated in low fee index equities. Several large clients, mostly outside the United States, rebalanced their portfolios amid record levels for equity markets. Private markets generated net inflows of $2 billion. Continued demand for our infrastructure and private equity solutions were partially offset by successful realizations of about $4 billion, primarily from private equity strategies. Finally, cash management net inflows of $30 billion were driven by government and international prime funds. Flows benefited in part from clients reinvesting in cash strategies in early April after redeeming balances during the last week of March. Net inflows included multiple large new client mandates, as connectivity between our cash and capital markets teams allows us to deliver clients holistic advice and market insight. Our scale and active approach for clients around their liquidity management are driving sustained growth in our cash platform. BlackRock's strategy and platform evolution, they're rooted in our convictions about future client needs, about required investment capabilities, about technology, about scale generation. Teams across BlackRock are connected in delivering on significant client opportunities, driving product innovation and operating more nimbly and efficiently. Momentum continues to build across our platform. We're better positioned than ever to grow our share with clients and deliver profitable growth for our shareholders. I'll turn it over to Larry.
Laurence D. Fink: Thank you, Martin. BlackRock's core business growth is the strongest we've seen in nearly three years, with a significant upward shift ever since our last earnings call in April. Second quarter core net inflows were approximately $150 billion, excluding lower fee episodic M&A and institutional index activities. Our structural growers areas, like ETFs, models, Aladdin and private markets, are powering steadily higher organic base fee growth. Organic base fee growth represented the best second quarter since 2021. 2024 has been our ETF strongest start in a year on record with $150 billion of net inflows and iShares' June flows were the strongest month in our history and for any other issuer. We are executing on landmark mandates across our platform and on closing our planned acquisitions of GIP and Preqin. Client and stakeholder feedback on both GIP and Preqin has been increasingly enthusiastic. We are on a differentiated path to transform our capabilities and infrastructure and to meet the growing need for private market technology, data and benchmarking. We believe this will deepen our relationships with our clients and deliver value to you, our shareholders. Our growth in private markets provides a whole new engine for premium diversified organic growth and less beta-sensitive revenues, both of which should drive future earnings and multiple expansion. We have strong conviction we are on pace to reach our 5% organic base fee growth target. And the expected third quarter closing of GIP will add on to our organic base fee growth potential, doubling our private markets base fees and adding approximately $100 billion of AUM focused on infrastructure. At BlackRock, we always intensely push ourselves to anticipate where markets are going, what clients will need and how we can deliver better outcomes in better ways to each and every client. We set the standard for buy-side risk management technology by launching Aladdin on the desktops of investors over 20 years ago. We acquired BGI and iShares to redefine whole portfolio investing by blending both active and indexing to build better outcome-oriented portfolio. iShares AUM was about $300 billion when we announced our acquisition in 2009. Today, iShares is approaching $4 trillion of client money. We recently celebrated the five year anniversary of the eFront acquisition, where ACV has now more than doubled since becoming part of BlackRock. We have never been shy about taking big, bold, strategic moves to transform ourselves and most importantly to transform our industry. Our successful business transformations are delivering our strong performance today and opening up meaningful new growth markets for our clients and for our shareholders. We continue on our mission to transform private markets. BlackRock is unique in delivering an integrated approach to help our clients across all aspects of private market investing, enabling a seamless view into investment management, into technology and data onto one single platform. With a strong common culture of serving clients with excellence, together with GIP, we will deliver for our clients a holistic global infrastructure manager across equities, debt and solutions. We will provide the full range of infrastructure sector exposures and we will offer our unique origination across developed and emerging world markets. Our recently announced agreement to acquire Preqin is another step in the transformation of our private markets and technology platform. As private markets grow, data and analytics will become increasingly more important. We believe our planned acquisition of Preqin will help to compete the whole portfolio by delivering high-quality data integrated with workflows. Ultimately, this should drive increased accessibility and efficiencies in private markets. And the combination of Preqin with Aladdin and eFront presents an opportunity to find a common language for private markets, powering the next generation of whole portfolios. We envision we could bring the principles of indexing to the private markets through standardization of data, through benchmarking and through better performance tools. BlackRock has developed a broad network of global corporate relationships through our many years of long-term investments in both their debt and equity. For companies where we are investors, they appreciate that we are long-term, consistent, always-there capital. We are not transactional. We invest early and we stay invested through cycles. Whether it's debt or equity, pre IPO, post IPO, companies recognize the uniqueness of our global relationship, our brand and our expertise across markets and industries. This makes us a valuable partner, in turn unlocks the opportunity and performance we could provide for clients. Unique deal flow and track record of successful exits create a flywheel effect, enabling future fundraising and more scaled funds. Corporates and clients increasingly want to work with BlackRock, and we are executing on the best opportunity sets we've seen in years across iShares, private markets, whole portfolio solutions and Aladdin. Importantly, our business has great breadth with organic growth diversified across our platform. In the first half of 2024, flows were positive in active and index and across all asset classes. Our active platform, including alternatives, contributed $11 billion. ETF remains a secular growth driver, processing $150 billion of net inflows, and already representing more than 70% of our total flows of last year. And our technology services revenue grew double-digit in the first half of the year. Importantly, we have notified fundings for a number of scaled institutional wealth management that we expect to fund over the coming quarters. For example, in the second quarter, we were selected to manage a $10 billion US corporate plan, a multi-billion fixed-income portfolio for a large defined benefit scheme and scientific active equity strategies for several global financial clients. These add to the global mandates which we have seen -- that we have been chosen over the last six months, including a large US RIA, a UK pension fund, a European captive asset management are just a few examples, as we look to onboard these mandates and more in future quarters and delivering the outcomes of our clients and their constituents and what they need. Growing business momentum across our scaled asset management and technology platform is driving strong financial results. BlackRock's operating income was up 12% year-over-year or 160 basis points of margin expansion. Earnings per share was up 12%, and we remain committed to delivering differentiated organic growth at a premium margin to our investors. We continue to generate leading organic growth and our operating margin of 44.1% is over 10 points above the traditional peer average. [indiscernible] 5% yields in cash have kept many investors overweight in cash and nearly $9 trillion still sits in money market funds. Those waiting in cash would have missed out on a broad stock market returns of over 26% over the last year, including 17% so far in 2024. Long-term outcomes and future liability matching needs more than a 5% return. Investors will have to re-risk, which should improve flows into equities and credit markets. BlackRock is always a sheer winner when assets are in motion and a meaningful outperformer in periods of investors re-risking. BlackRock operates from a position of strength. We have a clear path to our 5% organic base fee growth target and we're transforming ourselves to build a firm that can exceed that target. Clients increasingly see the value in the BlackRock model, a single unified platform designed for clients unmatched in breadth, powered by BlackRock and totally built on trust. And it goes beyond clients simply wanting to do more with BlackRock. They are looking for a partner that innovates and helps them grow. The world's largest asset owners want deep strategic partnerships, increased customization and innovation, approaching that might include a creative co-investment opportunities and co-development of strategies. BlackRock's Decarbonization Partners, joint venture with Temasek, is one example of this type of relationship. In the second quarter, we announced that its inaugural fund had a final close above its fundraising target raising $1.4 billion. The first-time fund attracted over 30 institutional clients representing 18 countries. The diversity and debth of the investor base is a testament to our long-standing client relationships and strength of our team. Insurers represent some of our most long-standing relationships in clients and we are leveraging our insurance expertise and diversified global platform to deliver fixed-income technology and increasingly private market solutions. BlackRock manages nearly $700 billion in long-term AUM for insurance clients. And we are the industry leader in managing core fixed income for insurance companies general accounts. Insurance CIOs are expanding their mandate with BlackRock to include private markets and structured assets. Just a few weeks ago, we awarded our first large-scale general account allocation for a private structured credit mandate. We also had success with insurers and dedicated SMAs for infrastructure debt where we have differentiated capabilities. We have deep long-standing relationships across our insurance client channel with a dedicated insurance portfolio management team. We see significant opportunity to work more closely with our insurance clients as we leverage our GA business as a potential durable source of long-term capital for our private debt franchises. The industrial logic that informed our planned acquisition of GIP has only begun even clear in the last six months. There is a generational demand for capital and infrastructure, including the finance data centers for AI and for energy transition. Private capital will be critical in the meeting these infrastructure needs both standalone and through public private partnerships. Clients' reception to GIP has been overwhelmingly positive with strong reverse inquiry from clients excited to partner with a newly scaled infrastructure platform. We see particularly strong demand for opportunities in the AI, data centers and energy transition spaces. Through BlackRock's relationships with corporates and sovereigns, BlackRock is at the center of the investment opportunity being shaped by the demand for generative AI. AI cannot truly happen without investments in infrastructure. These technologies require a new generation of upgrade data centers, which will need enormous amounts of energy to power them. With the AI fueled need to build data centers, we see great potential to monetize the 4.3 gigawatts of power production capacity of generational assets currently owned by BlackRock's infrastructure funds. When we talk to leaders in industry and governments, they express their desire to build out data centers, AI, technology, at the same time to decarbonize. Our Diversified Infrastructure fund recently invested in Mainova WebHouse, a first-of-its-kind partnership, to invest in a hyperscale data center platform in Frankfurt, run entirely on renewable energy. And our planned acquisition of GIP will add a number of global data centers assets in our portfolio. We plan to be a leader in this space, leveraging our expertise to drive capital formation and unique deal flow to generate return for our clients. For decades now, BlackRock has helped investors benefit from the growth of the capital markets, supporting their path to financial security and long-term objectives like retirement. Early in the second quarter, we successfully launched LifePath Paycheck with a subset of committed clients. We expect additional commitment plan sponsors to fund over future quarters and we have a very strong late-stage pipeline. More than half the assets we manage are related to retirement. Our growth investments to enhance our capabilities and strategies like active target date and infrastructure underpin our commitment to improving retirement outcomes. BlackRock continues to create more access and connections between long-term investors and capital markets, both in the United States and throughout the world. Early this quarter, we announced an agreement with the Public Investment Fund, the PIF, to launch an investment management platform in Riyadh, which aims to accelerate the development of our local capital markets and enable foreign investment into the region. We expanded our Jio-BlackRock joint venture in India beyond asset management to brokerage and wealth management. And just last month, we joined a new coalition to mobilize infrastructure investments in the Indo-Pacific region alongside GIP and other global investors. In the US, we announced the new opportunity for BlackRock to help expand domestic capital markets by investing in the creation of the Texas Stock Exchange. The exchange aims to facilitate greater access and increase liquidity in US equity capital markets for investors. Our investment builds on a history of investing in similar market structure opportunities for the benefit of BlackRock clients. ETFs will continue to grow as a technology that provides simple efficient access to capital markets, making investments easier for clients of all sizes. Our investments over time are driving accelerated momentum across our ETF platform. Second quarter ETF flows of $83 billion were positive across our core equity, strategic and precision categories. ETF flows of $150 billion in the first half of 2024 represents a best start to the year in iShares' history and are more than double what they were in the first half of last year. BlackRock leads the ETF industry in flows. We are also facilitating market expansion. Our Bitcoin ETF reached nearly $20 billion in its first six months and is the third highest grossing exchange-traded product in the industry this year. Three of the five top asset gathering bond ETFs are iShares and our active ETFs are growing contributors with $12 billion of net inflows in 2024. We remain focused on innovating our product offerings, particularly with active ETFs, growing bond ETFs with extending distribution partnerships to make iShares the provider of choice across all wealth platforms. In June, we expanded access to our alpha-seeking expertise through the launch of active US equities and high-yield ETFs managed by some of our leading investors. And we are partnering with a number of international banks and brokerage platform to expand distribution and access to our products. Examples include our relationship with ETF savings plan providers and our recent selection as a premier partner to Envestnet. From winning our first client to serving millions of investors today, Aladdin has been the technological foundation for how we deliver our clients across our platform. Aladdin isn't just the key technology that power BlackRock, it also powers many of our clients. We see clients increasingly using the technology investments across the fintech and data ecosystems. We're partnering with clients who are increasingly looking for comprehensive technology solutions across their entire portfolio from risk analytics, investment management and to accounting capabilities. The need for integrated investment and risk technology as well as whole portfolio views across public and private markets is driving durable ACV growth. Years ago, we anticipated that clients would benefit when alternative investments were evaluated inside a portfolio-level risk management framework. As allocation to private markets increased, we knew the ability to seamlessly manage portfolios and risk across public and private asset classes on a single platform would be critical. BlackRock invested ahead of these clients' needs, acquiring eFront in 2019 and going on to integrate it with Aladdin to deliver a whole portfolio view. And our planned acquisition of Preqin will expand our capabilities beyond private markets, investment management and technology to data. We see a significant runway ahead as private market allocations from our clients will continue to grow alongside their need for an integrated enterprise-level investment technology, data and analytics. Much of BlackRock's success and our momentum today has come from anticipating and making calls and what our clients will need as they pursue long-term outcomes like retirement and financial security. We constantly innovate, we constantly evolve, we transform ourselves and we make sure we deliver for each and every one of our clients. We've spent decades building our global network of relationships of data and analytics, integrating technology and these are the key differentiations to deepening our relationship with clients and accessing unique investment opportunity and partnerships. With our planned acquisition of GIP and Preqin and core business strength, BlackRock's capability has never been stronger. We have the most comprehensive platform in the asset management industry integrating across public markets, private markets and our Aladdin technology, and we are creating a differentiating private markets approach. We're building what our clients need for success, a skilled private market platform encompassing investment, workflow through eFront and data and risk analytics through Preqin. By bringing together investments, tech, data across public and private markets, we have the opportunity to drive better portfolio outcomes for investors and open up a diversified higher multiple earning streams for our shareholders, you. We look forward to delivering strong performance for our clients along differentiated growth, which will be an opportunity for you, our shareholders. Operator, let's open it up for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Alex Blostein of Goldman Sachs.
Laurence D. Fink: Good morning, Alex.
Alex Blostein: Hey, good morning, Larry. Hello, everybody. So, lots of optimism on the firm's trajectory for organic growth, and I heard you guys, obviously, echoing maybe some of the comments from last quarter around the strong pipeline and Martin's comments around premium organic growth. So, maybe help contextualize this a little bit more. What did the pipelines look like today? What kind of the timing of some of these conversions that you anticipate? What asset classes? And ultimately, what that means for the firm's organic base fee growth for the back half of '24? Thanks.
Martin S. Small: Thanks, Alex. I'll start and I think Larry will add some color. But Q2 organic base fee growth, as I mentioned, was 3%. We had that typically seasonally slow start of the year in Q1. So, 3%, it's just about at our target for where we thought we'd be in May and June. We really see excellent momentum, and I think you got that in Larry's comments. But I'd say on the measures we look at for fee growth velocity sort of last three months, last six months, last 12 months, organic base fee growth, Alex, keeps grinding up by 1 percentage point; it's 1% to 2% and now 3%. And we really feel that markets are on this precipice of a reset. Rate cuts should normalize bond markets, they should normalize fixed-income allocations, they should fuel equities, they should really drive flows. We've been a really meaningful outperformer in these re-risking periods. If I look at sort of previous election cycles, rate reductions, BlackRock had huge upside capture. In '17, '18, '21, we were well above our through-the-cycle targets for organic growth in those periods. And I think when we look at growth, it's going to come from these strong structural growers, and those things grow even faster in supportive markets, ETFs, models, Aladdin, our expanding private markets business. We're closing in and growing our AUM by over $100 billion in private markets with our planned GIP acquisition, and we see that as a huge growth opportunity. So, we'd expect those engines to really capture additional growth that hits our targets, and even on the most modest growth assumptions, I think, for beta end markets to really drive significant differentiated durable earnings and multiple expansion. We look at this all the time as a team. We've achieved our premium organic base fee growth target of 5% on average over the last five years, and BlackRock has a lot of positive leverage to re-risking periods in the market that gives us a great deal of conviction about the path to 5% in the back half of '24 and also our longer-term ambition, I think, to be at 5% or better as we grow private markets and technology.
Laurence D. Fink: Alex, let me just add a little more holistic texture. We have never had more dynamic conversations than we ever had now across the world, across products. I truly believe our positioning in iShares today has never been more robust. Our delivery now of active ETFs, our innovation in crypto, having more precision-type products when there is, I would say, more fragmentation going on in the world allows us to have more conversations with differentiated products for our clients. But the feedback now close -- over six months of feedback of our planned acquisition of GIP and the conversations we're having with some of the most sophisticated investors worldwide has never been more robust about how we could partner, how we could be trying to develop more things. And in my prepared remarks, I talked about the confluence of power and AI and data centers. And I believe this is going to be one of the world's biggest growth engines as we start trying to develop AI for everyone, AI not just for the big powerful organizations, but AI utilization for everybody, for every country in the world, and it's going to require just -- we're talking trillions of dollars of investments. And our conversations with the hyperscalers, our conversations with governments, our conversations with the chiller suppliers, the cogeneration suppliers, the opportunities we have in infrastructure is way beyond I've ever imagined even just seven months ago when we were contemplating the transaction and formalizing it. Our conversations with investors from the most sophisticated sovereign wealth funds to our conversations with the RIA channels, the need for data and analytics across the private sector is only going to be growing, and no firm right now has the position that we have with Aladdin, eFront and now with Preqin that we could assist more and more investors. So, we are taking a differentiated approach that obviously we have done that in the past. And I would just like to just say that, and I said in my prepared remarks, we do these things pretty boldly. When we bought eFront, everybody thought there was a big price and yet we've doubled ACV. Martin talked about Aperio where we crossed over $100 billion in AUM. I do believe -- we've talked about AI at BlackRock AI for Investments. One of the big opportunities I see is going to be systematic equities, where we've had now a 10-year track record of approximately 90% outperformance. And I do believe that we saw now close to about $5 billion of flows. I believe this is only going to be accelerating now. As more and more investors are looking at how can you use AI for investments, and we have one of the finest platforms utilizing AI, utilizing big data. So, I'm very excited about the high-growth potential we have in more and more high-fee products, but I'm just as excited about how we can provide better product across the board utilizing our ETF platform.
Operator: Your next question comes from Craig Siegenthaler with Bank of America.
Laurence D. Fink: Good morning, Craig.
Craig Siegenthaler: Hey, good morning, Larry. So, our question is on the outlook for technology services revenue growth. With tech ACV growth at 10%, which is the low-end of your long-term target range, we want to see if you have visibility into the future trajectory given the timing of larger contract wins within your existing pipeline, in conversations with clients. And now that you have Preqin, how will that also impact the 10% to 15% target in 2025 after the deal closes?
Martin S. Small: Thanks, Craig. I'll start and I know Larry will add. Technology, it's just the main engine for investment performance, right? It's the main engine to drive operating leverage. It's what great firms, I think, are using to have great client experiences that fuel growth. And we see a very consistent growth rate in how clients are investing in more technology. I can tell you as a CFO, if I could invest in tech spend, I would. Generally in the marketplace, there's just an acceleration in tech spend across the board. But I think importantly, clients are trying to retire this kind of spaghetti patchwork of legacy systems they have. They want to leverage fewer providers. They want to do deep integrations across the fintech and data ecosystems. They want to have a whole portfolio view across public and private markets. That's always been the thesis of the Aladdin platform. It's how we use it at BlackRock and with our external clients. It was what drove the integration of eFront and Aladdin. And now with Aladdin, eFront and Preqin, we think we have even more opportunities to benefit new clients and the pipeline is very strong. Tech services revenue was up 10% year-on-year, 5% sequentially. As we continue to get the big assignments and new sales from the prior years going live, we expect those revenue numbers to stay strong. Our ACV target, Craig, it's over the long-term. We've achieved it on average since we first started disclosing ACV in 2020. And we think we have a real opportunity to apply and drive indexing principles using Preqin, Aladdin, eFront together across tech data and investments. Preqin is expected to accelerate our planned technology services ACV within our target range. It's going to increase current ACV dollars by about 15%. So, we'll continue to target low- to mid-teens growth in tech services ACV, and we'd expect bringing together Aladdin, eFront and Preqin to be the way that we can get there over the next few years.
Laurence D. Fink: Craig, but our line of sight, we are in conversations right now with probably the broadest and largest potential Aladdin assignments ever had. So, the conversations we're having are with broad deep conversations than we've ever had and much of it has to do -- the serious big giant conversation we're having right now are based on the ability that Aladdin can provide both public and private data analytics. And two, we deliver. There are many examples where people made big, broad promises, and there were years, I want to underline years, delayed in the implementation. We have a deep history of delivering on time. That doesn't mean it doesn't take long time to do it, but we are -- we have a huge reputation because of our expertise in delivering the technology platform on time. These are very big and complex, and we do it very well. And now with the combination of Preqin alongside eFront and Aladdin, we have probably the biggest opportunity we've had in 10 years or more in delivery even a more differentiated technology and analytical platform. And by doing so, it could really then expand our entire platform in towards the benchmarking and indexing. As you know, that's been a province of other organizations. Historically, asset managers were precluded the SEC to be into this business. This is why we were never in this business. Asset management firms can now be in it, as you know, and we create some type of customized index, but we look at this as a unique opportunity now for BlackRock. With our position, with our role, we are going to do this with the same, I would say, industrial fortitude as we did in the early years when we were just an asset manager needing risk analytics, so we did it ourselves and then we are so proud of what we did ourselves, we offered it in the '90s to our clients. We are going to do this in the private markets. And we're going to -- this is going to take time, but I think we have a real ability to provide a very differentiated platform in this and this is something of sheer excitement. And if we succeed, this will add a whole new revenue line on BlackRock's revenue side. Thanks.
Operator: Your next question comes from Michael Cyprys with Morgan Stanley.
Michael Cyprys: Hey, good morning, Larry.
Laurence D. Fink: Hi, Mike.
Michael Cyprys: Hey. Just a question on the alts business and GIP with the deal expected to close in the third quarter. Can you just talk about your expectations for flows there in the infrastructure space? What strategies are you in the market raising or could be in the market raising over the next 12 months? And maybe talk about some of the steps that you may be able to take to bring some new products to the marketplace, including extending into the private wealth channel?
Laurence D. Fink: Great question. Thank you. Well, obviously, we are doing whatever we legally can in terms of making sure that we are making sure that there are two operating entities until we get legal approvals and we close. But that being said, BlackRock is having incredible conversations. GIP is having incredible conversations. We have business integration meetings, which were allowed to do. And the enthusiasm between our team and their teams have -- are way beyond our imagination. This feels so fantastic right now between our organizations and the opportunity we have. As we said, we expect this to be announced in the third quarter. Hopefully, later in the third quarter, we have other announcements of things that we could be talking about, but I'm not really permitted to talk about what are the deals, what are the things we're doing. What I need to be just showing you is our incredible enthusiasm that what we have and the opportunities we have and I do believe we will have post-closing some amazing opportunities and then therefore some amazing announcements.
Operator: Your next question comes from Bill Katz with TD Cowen.
Bill Katz: Okay. Thanks very much for taking the question.
Laurence D. Fink: Good morning, Bill.
Bill Katz: Good morning, everybody. Thank you for opening comments. Just coming back to the opportunity for Preqin and you sort of think through the evolution of the private markets, how do you sort of see the product evolution? And is there a pathway here for ETFs given the underlying illiquid nature of the investments? Thank you.
Martin S. Small: Thanks, Bill. So, we're extremely excited about this Preqin transaction. We think it really unlocks a whole new segment of growth for our clients, and we think it unlocks a whole new data services segment for BlackRock. And we see really the opportunity to grow Preqin by connecting it with our complementary Aladdin and eFront capabilities, as well as obviously we have a lot of client relationships and significant distribution reach. We'll continue to offer Preqin Pro in the data products as standalones. I think there's really three things that we're focused on here in driving a successful Preqin transaction. The first is simply driving more sales, building out comprehensive fund deal level databases and really integrating data and workflow into a unified platform that better serves clients. The second is, by innovating and launching new data products. I think it's fairly remarkable when you think about the public markets, you think about this symbiotic relationship that risk models and indexes and data have done to create public market indexing, benchmarking, asset allocation, all of those opportunities are ahead of us in the private markets by bringing together risk models, benchmarks and investable indices. We think this opportunity to index the private markets is really one of the most attractive that we've had in the history of BlackRock. And last, we have the ability to drive a lot of scale. We have data factories. Preqin has data factories, not the primary rationale for the transaction, but we really think that we can drive profitable growth, increased scale and efficiency by making this a seamless operating organization. We've had a really good reaction to the transaction from GPs, from LPs, from service providers, all of which who are strong enthusiastic Preqin clients. They're excited about the opportunity to bring together the eFront and Preqin data sets. And so, we think there's a lot of great opportunities here to continue to grow and we're looking forward to closing the Preqin transaction before the end of the year.
Laurence D. Fink: I would just add one more point to that. The inquiries that we've had from big vendors, from exchanges, from different organizations about how can we take what Aladdin, Preqin and eFront has, how can we make that -- how can we -- and how are we going to be able to distribute that and utilize that is a great sign that the ecosystem sees the opportunity that we have. And I don't -- I think it was very clear that because of -- we have eFront and Aladdin, we were just in a very unique position to take this and add it to it. And I think this is one of the real strengths of BlackRock. And now we got to -- obviously, we got to close it and we got to execute upon it, but I'm -- as I said earlier, this is something that we can really be transformational and really change the whole foundation of public and private markets. And if we do what we did for public markets with Aladdin and data, what we did for public markets with ETFs and iShares, if we do that and transform more and more private products into more retail products using our data and analytics, we'll transform the capital markets and that's something that BlackRock has been proud of how we've moved the capital markets and this is just another step for us how we could be additive to the global capital markets.
Operator: Your next question comes from Dan Fannon with Jefferies.
Laurence D. Fink: Good morning, Dan.
Dan Fannon: Thanks. Good morning. Wanted to follow-up, you talked a lot -- about a lot of momentum across the business. Fixed income has been a topic for some time, flows have been a bit more mixed here year-to-date. I guess in the conversations you're having, do you still see that as one of the big areas of incremental growth as the interest rate environment evolves?
Laurence D. Fink: Well, I think, as I said in my prepared remarks, sitting in 5% yield makes a lot of sense unless you put in the -- if your liabilities are long dated, you lost money actually because with equity markets up 24% and 17% this year alone. But that being said, we are beginning to see other clients starting to re-risk and they're re-risking other. And let's be clear, if you look at iShares fixed-income flows, the market was basically flat. If you look at the -- so all the AUM growth in iShares fixed income was really re-risking. And what -- I think this is a good statement saying, one, we're going to see more and more ownership in fixed income through ETFs. That's evolution that's going on. Obviously, you're seeing growth in private markets and private credit that continues on. We are widely bullish as more and more clients are going to be using infrastructure debt. And so, I think you're going to start seeing as all this plays out, like we've seen in equities. We used to talk about equities more of a barbelling effect, I think we're starting to see that here in the bond market where more and more people are in their core fixed-income portfolios, they may continue to just use ETFs as a foundation. And our growth in bond ETFs this year in a flat market is a great example that more and more people are getting fixed-income exposure as a core element they are using ETS more and more. And if they are starting to try to get more beta -- excuse me, more alpha in their fixed income side, excuse me, they're going to do it and they're going to do that in more the illiquid space of private credit, they're going to do that in mortgage-backed securities and they're going to do that in infrastructure debt. So, I believe we're very well positioned for that moment when people are recalibrating out of cash. And it's going to be heavily into fixed income, bond funds, it's going to be also more of the alternative ETFs -- alternative income-oriented products.
Operator: Your next question comes from Ken Worthington with JPMorgan.
Laurence D. Fink: Good morning, Ken.
Ken Worthington: Hi. Good morning. Thanks for taking the question. Cash management had a strong quarter. To what extent are you seeing or still seeing different and additional institutional clients migrating out of banks to money market funds to get higher yield? And where would you say the global markets are in terms of this transition to higher-yielding forms of cash management? And then to the last question, you called out re-risking a couple of times. Are you seeing re-risking coming out of cash, or is re-risking really a migration within other asset classes either extending duration or going out the risk curve in equities? What are you sort of seeing in terms of that re-risking?
Martin S. Small: Thanks, Ken. It's Martin. So, cash flows, $30 billion, as I mentioned, largely driven by government and international prime funds. We had that dynamic at the end of March and the Good Friday dynamic where clients have come out and then we saw a significant kind of return and an increase in balances in early April. We had multiple large new client mandates. I flagged that the cash platform today is about $780 billion. It's grown more than 50% over the last five years. And investors, they are earning a real return in cash. We expect that investors will re-risk. But I'd say a couple of dynamics we've definitely seen in the platform. Post Silicon Valley Bank, we saw through sort of Cachematrix, we saw in our institutional business, I think clients just being more mindful, tactical and kind of operationally flexible in how they manage cash. We think that largely for an institutional manager like BlackRock that's been a good trend of being able to put together technology and customized liquidity accounts in a way that we can grow. And then, ultimately, we have seen this business grow, but I'd also flag that bond ETFs have been a real surrogate, I think for kind of how clients are managing cash. And as Larry mentioned, over the last year we've seen $100 billion basically of organic growth in bond ETFs, which I think have been used as cash or cash proxies along the way as clients manage their liquidity dynamically across money funds, separate accounts and traded instruments like ETFs.
Laurence D. Fink: But let me add a little more towards the asset allocation into more re-risking. I think it's a mixed bag, Ken, as we said in our prepared remarks. We're seeing a lot of pension funds who are saying, "I'm at my liability. My assets reached my liability level. I don't need to own as much equities." That's going to be persistent if we continue to have rising equity markets. And on top of that, if -- with rates staying higher longer, that gave those pension funds the liability rate that's set, but obviously if interest rates go back down, the liabilities will go out a little bit. And so, we're seeing some clients actually derisking because they can, but where are they derisking? A lot of clients are not just derisking going from out of equities into cash, they're going into equities into other fixed-income instruments. This is where I believe you're going to see more and more investments into infrastructure where you have less volatility in the investments, higher probable returns, high fixed coupon. So, we're seeing clients around the world recalibrate their risk. There are some clients who were sitting in way excess -- too much cash, and they're obviously paying for that, and we'll see how they re-risk. But overall, I think probably if I had to say the headlines for the first six months, the clients that are overweighted in illiquid strategies like private equity where they had liquidity issues, you saw them keeping more cash balances. If and when the private equity markets unlock itself and there's a little more distribution, maybe you could see some of that cash going out and re-risking. So, you're seeing a whole mixed bag. But I do believe the macro trends towards more bond allocation because of the extensive equity rally over the last 10 years, deeper allocation towards private, especially private credit and infrastructure is going to continue. And I do believe the tools of using ETFs as a core component of portfolios is going to become a larger and larger component of how investors invest. They're going to use more core fixed-income ETFs, more equity ETFs and then barbell against using more -- I would say, more diversified, maybe more illiquid strategies across the board. And I do believe BlackRock is as well positioned for that as any firm in the world.
Operator: Ladies and gentlemen, we have reached the allotted time for questions. Mr. Fink, do you have any closing remarks?
Laurence D. Fink: I do, operator. Thank you. And thank you for all joining us this morning and for your continued interest in BlackRock. Our second quarter results are possible because of our deep partnerships with our clients around the world and our One BlackRock approach in everything we do. We are well-positioned to execute on our landmark mandates across our platform and we're closing in on our planned acquisitions of GIP and Preqin. We see unbelievable growth opportunities for our clients and our shareholders for the rest of 2024 and beyond. Everyone, please stay safe, stay cool, have a lovely summer as best you can. Enjoy our political conversations over the next few weeks. Be active, and have a great quarter.
Operator: This concludes today's teleconference. You may now disconnect.